Silvia Ruiz: Good afternoon, everybody. This is Silvia Ruiz speaking, and I would like to welcome you to Ferrovial's conference call to discuss the financial results for the full year 2023. I am joined here today by our Chairman, Rafael del Pino; our CEO, Ignacio Madridejos; and our CFO, Ernesto Lopez Mozo. Just as a reminder, both the results report and the presentation are now available on our website. Before starting, please bear in mind that in light of the ongoing regulatory review for the planned NASDAQ listing process, the company has decided to make some changes and simplifications on the reporting. Main changes affect what we call now adjusted EBITDA, which only implies a different name as the underlying figures are calculated the same way as before. In addition to that, you will see some changes affecting the cash flow evolution that have been made in order to align it with the IAS 7 criteria. Ernesto will cover that in more detail during the presentation. [Operator Instructions] With all this, I will hand over to Rafael. Rafael, the floor is yours.
Rafael del Pino: Thank you, Silvia, and good afternoon, everyone. Ferrovial showed a strong performance in its main infrastructure assets in 2023. In Toll Roads, all North American assets posted double-digit revenue growth in the year due to higher traffic, and in the case of the managed lanes, revenue per transaction increased well above inflation. Airports showed a relevant traffic recovery across the portfolio. Dalaman in Turkey reached an all-time traffic high, and Heathrow in the U.K. had its third busiest year ever, welcoming 79.2 million passengers. In Construction, profitability was impacted by the completion works of large projects in the U.S., posting an adjusted EBIT margin of 1.1%. We ended the year with a strong ex-infrastructure net debt position, reaching minus €1.1 billion, meaning a net cash of over €1 billion. We received €741 million in dividends from our infrastructure assets, including NTE 35 West's first dividend distribution of €251 million for Ferrovial. During the year, we invested €444 million, including equity injections in new projects, and returned €250 million to our shareholders. We have also had 2 significant developments in 2023. First, Ferrovial shares started trading on Euronext Amsterdam in June. This dual listing is a step in Ferrovial's reorganization to align the corporate structure with the company's international profile. We are currently working on the next milestone, the U.S. listing. On January 5, the company submitted the first public SEC filing 20-F and later hosted a Capital Markets Day in New York. Second, we reached an agreement to sell our 25% stake in Heathrow's parent company for GBP 2.4 billion. This transaction is subject to the satisfaction of all shareholders' tag-along rights and regulatory conditions. ESG is embedded in our business strategy. Proof of this commitment was Ferrovial's successful issuance of a €500 million sustainability-linked bond. The company has also received the Top Employer 2023 recognition as one of the best companies to work for in Spain and was also named one of the world's leading environmental companies by the Carbon Disclosure Project. In the following slide, we will review some of the main figures for the year. Revenues stood at €8.5 billion, supported by higher revenues from Toll Roads and Construction. Adjusted EBITDA reached €991 million, 40.6% above 2022 figures in comparable terms, mainly due to a higher contribution of the U.S. toll road assets. Construction order book is at an all-time high of €15.6 billion with almost 50% coming from North America. Dividends from projects reached €741 million, including the first distribution from NTE 35 West. Net debt position ex-infra projects reached minus €1.1 billion. And finally, total shareholder return in 2023 was 38.4%. Now, I will hand it over to Ignacio, who will review Ferrovial's strategy and 2023 results by business unit.
Ignacio Fernandez: Thanks, Rafael. Hello, everyone. Let me start, as usual, giving an update on the strategy commented in detail during last Capital Markets Day. Last year, we had a good progress in our strategy to develop unique infrastructure assets in North America. The I-66 had a good ramp-up of revenues in its first year of operations. The segment 3C of the 35 West was open to traffic in June, 3 months ahead of schedule, and the new Terminal 1 is progressing on budget and on schedule. We are focused on developing similar assets in North America. Next opportunity is the SR 400 in Atlanta that we are bidding next May and decision expected next summer. Additionally, we have a good pipeline of 6 new managed lanes projects that will alleviate traffic congestion in cities like Nashville or Charlotte. We are selective outside North America, and one of the markets where we see more opportunities is India, where IRB, in which we own a 24.9%, won 4 new toll road projects last year. We continue the rotation of mature assets to recycle capital. Last year, we sold Azores toll road for €43 million and reached an agreement to sell our stake in Heathrow holding company, although it is subject to completion of condition precedents. One of them is the sale of 35% of the shares that decided to exercise their tag-along rights. Finally, we maintain our cash flow generation and financial discipline with a solid €1.1 billion ex-infrastructure projects negative net debt position at the end of the year. Sustainability is at the core of our strategy, and we believe it creates value for the company in the long term. To capture that value, we have identified KPIs with the specific targets that we report every year. We are progressing well in all of them, and I want to highlight the 45.6% reduction versus 2009 in Scope 1 and 2 CO2 emissions, the 31.3% reduction in water consumption versus 2009, or the 20.3% reduction in serious injury and fatality frequency rate versus previous year. In terms of European Union taxonomy, we have improved versus previous year. And in 2023, 33% of our revenue were aligned with the EU taxonomy. In diversity, we have 23.7% women in leadership positions, and we are working to have a better representation of all groups of talent. Our ESG ratings are a consequence of the implementation of our strategy, and we are very well positioned in all of them leading our industry. Last year, we increased our Toll Roads revenues by 42.1% and EBITDA by 48.3%. This data does not include equity-accounted assets. We achieved these numbers, thanks to the growth of traffic in all assets. The U.S. projects represent 83% of Toll Roads revenues and 93% of EBITDA and supported last year's growth. Total dividends from Toll Roads were €704 million, €360 million more than previous year, with the 35 West giving its first dividend. Last year, we started the construction of the NTE capacity improvements with an additional managed lane in Segment 2 and a new general-purpose lane in Segment 1. The construction is fully financed with debt, and constructions will be completed by 2027, affecting the traffic of these managed lanes until then. Moving now to the 407 and Toronto area, traffic has recovered in the 407 compared to 2022, with a 14.6% growth but still 7.5% below 2019. This recovery is similar to main alternatives and is still better than urban transit. Return to office continues improving in Greater Toronto area according to third-party sources and is catching up with other geographies that lifted mobility restrictions earlier. EBITDA increased last year 12.7%, and total dividends distributed were CAD 950 million. On December 29, we announced an increase of tariffs in the 407 to be implemented at the beginning of February after 4 years without an increase. With this toll increase, 407 will be subject again to congestion payments calculated with 2025 traffic and with cash payments in April 2026. It is important to remind that these congestion payments are based on peak traffic, which is taking longer to recover than average traffic. The tariff increase creates value with positive net revenue, net present value, even with expected material Schedule 22 payments in first years after 2025. 407 is about long-term growth. The area is expected to add 3.2 million population by 2045, increasing 30% congestion in an area already saturated. Moving now to the Texan managed lanes, average revenue per transaction grew 9% at NTE versus 2022, 10.7% at LBJ, and 15.4% at 35 West, all of them well above inflation. In January this year, soft cap has been updated for 2024, increasing by 3.4%. Traffic increased 9% at NTE, 9.2% at LBJ, but still affected by construction works on the [indiscernible] and 20.1% at 35 West, supported by the start of operations of the 3C extension. Additionally, adjusted EBITDA grew 19.5% at NTE, 23.5% at LBJ, and 40.3% at 35 West. I-77 had a solid performance last year with an 18.4% increase in transactions, a 28.1% increase in revenue per transaction and a 72.4% increase in adjusted EBITDA. I-66 had a good first year of operations with an average revenue per transaction of $5.5. This figure was $6.2 in the last quarter. Total revenues for the year of $167 million and adjusted EBITDA of $129 million. Our managed lanes in the U.S. are located in some of the regions with more economic and population expected growth in the U.S. It is the case of the Dallas-Fort Worth area that has been ranked first in the U.S. in terms of absolute population growth. This area is expected to add 3.5 million people by 2045 and increase congestion 61%. Our managed lanes are located close to some of the most dynamic areas in the region, attracting new corporate investments. Charlotte, with a 3.7% annual population growth since 2019, is expected to add 1 million people by 2045, and increase congestion by 50%. It is now one of the top 10 best performing cities according to the Milken Institute. Fairfax County, where I-66 is located, is one of the highest income suburbs in the U.S., and the area is expected to add 1.6 million people by 2045 and increase congestion by 48%. India is a market where we see opportunities to create value. IRB, where we own a 24.9%, had a good year. IRB's revenue increased 11.5%. Concession revenues increased 14.1%, driven by double-digit growth in main assets like Mumbai-Pune, and construction revenues by 11.2%, supported by progress in Ganga Expressway and other projects. Adjusted EBITDA increased 2.7% versus previous year, when we had a positive result on claims. IRB won 4 new toll roads last year and refinanced 5 toll road projects at Private Invit level. We see high-value growth in India. It is one of the world's fastest-growing economies, with a huge pipeline in transport infrastructure expected to be developed in the coming years. Now, moving to the Airport business, last year, traffic at Heathrow reached 79.2 million passengers, a 28.6% increase versus previous year and the third highest in Heathrow's history, only 2.1% below 2019, which was the record. Last December was the busiest ever, and demand is driven by outbound leisure but improving both inbound leisure and business, reaching now 27% of traffic versus 32% in 2019. Adjusted EBITDA last year increased 32.3%, reaching GBP 2,222 million. Last month, we announced the agreement to sell our 25% stake in Heathrow's parent company and later that 35% of the shareholders exercised their right to tag along their shares. We are looking for alternatives to satisfy this condition precedent, together with required governmental approvals, but there is no assurance that the transaction will be completed. AGS improved revenues by 18.9% and adjusted EBITDA by 42% versus previous year. Traffic reached 10.4 million passengers, still 23.4% below 2019 traffic and with room to continue improving future years. Dalaman Airport reached 5.2 million passengers last year, a new record and 6.8% above 2019 in spite of the reduction of Russian and Ukrainian passengers. Revenues were €71 million, adjusted EBITDA €55 million, and post-concession fee, €38 million. The new Terminal 1 at JFK is progressing on budget and on schedule. Also, a substantial amount of work is pending before opening in 2026. We have reached agreement with 5 airlines covering 25% of 2027 estimated traffic and are negotiating with a set of leading international carriers. Last year, we refinanced $2 billion with a long-term green bond. Total equity contribution so far reached €272 million and still pending €768 million, of which €469 million are expected to be contributed this year. Our Construction revenues reached €7,070 million last year, 9.9% above previous year. Adjusted EBITDA was €218 million, 19.6% more; and adjusted EBIT, €77 million, 11.9% more. Our adjusted EBIT margin was 1.1%, slightly above previous year. Budimex continued with its strong performance, reaching a 10% adjusted EBIT margin last quarter 2023. Webber maintained a stable margin, and Ferrovial Construction was affected by completion works in progress in U.S. and a provision to cover a landslide in Colombia that is under dispute. We had a good year in terms of operating cash flow, especially in Budimex and Spain, with a €390 million cash flow from operating activities. We finished the year with a record high order book, 48% in North America, and with €1.9 billion pre-awards, all projects waiting financial close, not included in 2023 figures. We maintain our average long-term target of 3.5% adjusted EBIT margin. Now, Ernesto will continue with main financial information.
Ernesto Lopez Mozo: Thanks, Ignacio, and hello, everyone. Okay. I will start the review of the P&L just after adjusted EBIT -- well sorry, just before adjusted EBIT, the period depreciation. And you see that we have more depreciation expense. The main explanation for that is the I-66. The toll road was opened, most of it at the end of 2022, and we have a full year of depreciation here. Also, we opened segment 3C in NTE 35 West. So we have almost half year of that additional depreciation form that segment. Moving below to disposals and impairments, we have the P&L gain from the disposal of the toll road in Azores is the main explanation. Moving into financial results in infrastructure projects, you have also the increase in financial expense from the interest of the I-66 full year, as I mentioned, this time. And then ex-infrastructure projects, we have, let's say, financial expense income, not expense, okay? And the main driver for this is the remuneration on our cash balances. You also have other items that help to have this flattering number. One of them is mentioned in a footnote, that is the Supreme Court awarded us the case in terms of the tax deduction of export activities, and in financial expenses, that is a €46 million reversal. So, that's a positive number. And also, we have some €43 million from fair value positive from hedging of the performance share plan. That is a hedge but doesn't have hedge accounting treatment, and also from interest rate hedges unwinding with refinancing. Okay. So moving to the equity-accounted affiliates are in the prior slide, we see the reflection of what has been described before. And then in income taxes, we also have the component of the same footnote that is roughly €70 million positive helping this result. All in all, overall, across all the lines, very solid numbers, with a net profit of €460 million. Okay. So we move on to the cash evolution, the net cash position. Well, several comments here. Well, first of all, probably you will notice that there was a strong end to the year, when you compare to the half year results. And here, this has been a good strong operating performance from construction and also dividends from infrastructure projects. Also, you will notice that we have a different way of presenting the net debt evolution. We are providing -- on one hand, we have the cash evolution, and on the other, at the bottom, we have some explanation of the gross debt evolution. So this helps to be more aligned also with IAS 7 in the way we present it. So, it's basically the same numbers, but there's some moving around that I will explain in a second. The main driver starting -- is the dividends from projects, €741 million. Then you have the results from operations with EBITDA and working capital, the €51 million and €154 million. And then, you have the tax payments, €155 million. So this is a block that we could consider operating activities as with IAS 7. The next component is cash flows from investing activities. The first one is €454 million of investments in equity in our projects mainly. And also, we have a new component here, that is the interest on deposits of the cash that we hold. In the past, we were taking this amount into, let's say, cash flows from financing. According to IAS 7, we are classifying that as cash flow from investing activities. Then we have €43 million coming from divestments, okay? So this block would be the cash flow from investing activities according to IAS 7. Then we move to the cash flow from financing activities. The first one is shareholder remuneration, €250 million. Yes, we are short here, or what we expected, but we couldn't start earlier in the year. The good news is that we keep applying our share buyback programs. And in 2024, we have more than €180 million already dedicated to this share buyback, shareholder remuneration. Then we have the other cash flow from financing activities. And here, we have a bunch of items. I will try to cover them all for the sake of clarity. The main driver is slightly more than €500 million from the repurchase of the hybrid bond. Then, we have something like €83 million of interest paid in our bonds, basically. Also, we have €87 million of leasing. And again, this is considered financing here according to IAS 7. In the past, we were considering this leasing cash outflow more operating because most of it is used for equipment and machinery in construction. Now, we are representing it according to IAS 7 in financing cash flow. Then we have the reduction change in borrowings. Most of them is short term, European commercial paper, €224 million here. So, those are the main components here that explain this amount. The other 2 components wash out that are minorities from Budimex in terms of dividends paid out to them. And then, we have also cash from minorities in construction operations, okay? This will conclude, let's say, the IAS 7 components, the cash flow from financing activities. And then, we have another component to reach out, the final cash flow, that is the effect of the exchange rate on the cash and cash items translation. At the bottom, we have some of the changes that affect the debt evolution, ex-infrastructure projects. And here, we have the change in short and long-term borrowings. Most of it, as I said, is short term, and it relates to the European commercial paper that I mentioned. And then, you have other changes in consolidated net debt that are basically also related to FX, that is in -- euros has hedges, so basically, it washes out with the prior thing I described in the cash flow components. So, a very strong cash flow showing, as I said, in the end, and with a new way of presenting cash flows from now on. Okay, so after this. I will hand it over to Rafael.
Rafael del Pino: So, looking ahead, we remain confident on our growth prospects that are supported by a significant cash generation due to growing dividends from a strong asset portfolio with new toll roads starting to distribute dividends, value creation through pricing flexibility in long-term infra assets located in growth areas, and attractive investment opportunities ahead, mainly in the U.S. Our 2024 shareholder remuneration proposal consists of 2 scrip dividends for a total of €0.75 per share with a maximum of €550 million, and a share buyback program of up to €500 million, or 37 million shares. This figure does not include the share buyback program announced in November 30, 2023 that will be active until the new program comes into effect. And we will now open the floor for questions.
Silvia Ruiz: Thank you very much Rafael, Ignacio and Ernesto. We will now begin the Q&A session. Please go ahead.
Operator: [Operator Instructions] And our first question comes from the line of Luis Prieto from Kepler.
Luis Prieto: I had 3 of them, if I may. The first one is, what's the reason behind the more adverse traffic figure at the 407 ETR in Q4 versus the same quarter of 2019 be? If we can attribute it to seasonality, should we expect a disproportionately positive behavior in the spring and summer of this year? The second question, in view of the well-populated pipeline of potential managed lane projects, what would you say are the key differences versus assets already in your portfolio? Should financial structures be substantially different? Should we expect more stringent revenue sharing mechanisms? What I'm trying to ask here is that if we should expect IRRs to be fundamentally different or not from what we have seen already. And the last one, very briefly, has the I-66 revenue per transaction found a plateau at USD 6 level? Or should we expect it to grow meaningfully from here?
Ignacio Fernandez: The first question about the traffic in 407 in the last quarter of the year, we have to take into consideration the seasonality that we have seen in the last years after COVID, that some people, when they see a weather forecast that is not good or is winter storm, that they stay in home more than before. So, this is something that we also experienced in previous quarters after -- the last quarter of the year before COVID. However, the number that we have to take into consideration is the 8.8% growth versus previous year. It has been growing properly and it's in the right direction. And I think the performance of traffic is good, but we need to take into consideration this seasonality. Regarding the new managed lanes, the only one that we have details is SR400, and I think that it will be very similar, I would say, although it's not close and we have to bid for it and see at the end, but similar to the Dallas managed lane. And in terms of returns that we are targeting for these new managed lanes, they have to be similar to the ones that we were targeting in the past. These are very complex infrastructure projects with high construction risk, also revenues at risk, and I think it's worth to have adequate returns to compensate for those risks. So we'll maintain at the same level as before. For the I-66, as you know, this is a managed lane with the freedom to set tariffs. And of course, what we are doing, we don't have even a multiplier for heavy vehicles in the I-66. It is the first year of operation. It is still ramping up in traffic. And what we are doing is pricing accordingly to the value that we provide to users, and I think it's something that we'll continue testing in following years.
Operator: The next question comes from the line of Robert Joynson from BNP.
Robert Joynson: First question on Construction, please. I saw that the 3.5% EBIT margin target is now the average long-term target as opposed to the target for 2024, specifically. Does that mean that you do still expect a 3.5% margin for 2024? Or is that no longer the case? And then, a couple of questions on the 407 ETR. You said in the presentation that toll increases are expected to be NPV positive even with material Schedule 22 payments in the first years. Does that imply that Schedule 22 payments during those first years could actually be more than the revenue benefits provided by the higher tolls? It just seemed like an odd way to kind of word that paragraph in the presentation. And then the second question, in terms of the accounting for congestion payments, presumably you will take a provision through the income statement next year before the first cash payment in April 2026. But would that be a provision charge each quarter? Or would it be a provision which is maybe saved up until the end of the year for Q4?
Ignacio Fernandez: Thank you, Robert. I will take the first 2, and Ernesto will take the last one. Regarding the first one, we are working toward achieving this 3.5% EBIT margin by the end of this year. So this is still our target to achieve this year. The 407, what we commented is that peak traffic is recovering slower than the normal traffic, especially during the weekends and weekdays, as we have commented previously. And because of that, we are expecting significant Schedule 22 payments in the first years after 2025, that is the year in which we are starting to pay. Anyhow, what we have to look is at the long term. In the long term, we see economic and population growth in the area, and with that, a reduction of Schedule 22 payments that they will not be relevant. We are not giving a specific forecast about these Schedule 22 payments. They are very difficult to calculate because they are based on peak traffic and that will happen in the following year. So it's not very easy, and we don't -- we are not giving any additional forecast about it.
Ernesto Lopez Mozo: Okay. Robert, so basically, regarding the accounting, you should expect along 2025 provisions, our preliminary thought is that they could vary along the same 2025 because you know that Schedule 22 is more based on the busiest days and those happening in Q2 and Q3. But as I said, these are preliminary thoughts, but it should affect toll 202. We will come with final conclusions on this later.
Robert Joynson: Maybe just one final question, if I may. Just on the toll increases this year, I know you don't give a number, but on my estimate is for around 15% on average, so a bigger increase than anything we saw pre-pandemic. Did you have any initial assessments from February of price elasticity maybe?
Ignacio Fernandez: Well, it's too early for this year because the price increase was done at the -- in February, at the beginning of February. So I think this is too early to estimate that. So we need to take more years. In the past, as you know, the elasticity has been very low, but we need more months in order to estimate if it will affect this year.
Operator: The next question comes from the line of Augustin Cendre from Stifel.
Augustin Cendre: I only have one, and it's more of a strategy-oriented question. My question is about your stake in Budimex. When I look at your construction abilities, they all seem to have synergies with other businesses in the group, but the only exception to me looks to be Budimex, which appears to have no synergies. What is your plan with that division? The reason I'm asking this question is because it's currently quite highly valued because of good performance. So maybe it would be a good time to divest.
Ignacio Fernandez: We are happy about the -- as you mentioned, about the contribution of Budimex to our results and the cash flow generation by the business. What we see is that the country has good prospects in the future, also with additional European Union funds for infrastructure projects that could increase the order book that we have in the country. We may also see in the future, opportunities for concessions that we can develop for Budimex. And it's also a contributor to the business in terms of construction capabilities. We are now -- I mean, taking some of the Polish engineers to many other projects in other countries. And also, we have a good experience with technical designs in some construction projects that we can use in other places. So, for the time being, we don't have taken any decision about the divestment of Budimex, and we are happy about the performance of this business unit.
Operator: The next question comes from the line of Gregor Kuglitsch from UBS.
Gregor Kuglitsch: So I've got a few questions, please. So the first one is the NTE disruption. So you've kind of flagged that obviously works are now underway. I think there was a budget out sort of suggesting from the subsidiary, maybe a 20% EBITDA drop. I wanted to understand if you believe that, that is realistic. Or is there anything other you can help us with to sort of gauge the impact of those works that are happening? The second was on buyback. Kind of just to be clear, so you said you did $180 million already, think, this year, if I understood correctly, already executed. You have a budget of up to $500 million. Obviously, last year, you kind of under-spent, I think, maybe by $250 million or something like that compared to the shareholder remuneration. So can we just understand, in terms of cash, what do you expect to spend in '24 all in? And then, sorry to probe again on the ETR. So the wording on NPV positive does imply maybe in the short term, it could even be negative. Do you confirm that or not necessarily?
Ignacio Fernandez: Okay. Thank you, Gregor. About the first question about the NTE disruption, as you know, this started construction in November. Well, of course, we'll see that in the future because of this construction, there will be some effect in the traffic in the corridor and also maybe in the capture rate that we have. With that also, it may have implications in terms of traffic during different periods of the day with affecting the different tariffs and also mandatory modes. So it could affect also not only the traffic but also the revenues that we have. Being said that, it's very difficult to calculate and estimate now what is going to be the impact of the construction works. I don't have the detail now of this disruption of -- I think the number that you say is very high compared to what I think that they have in mind. But we may check what is the budget that they may have. But anyhow, it's very difficult to estimate how the construction will impact and the number that you mentioned looks high. Regarding buybacks, we'll continue -- would you want to mention the rest?
Ernesto Lopez Mozo: Yes. Thanks, Ignacio. Yes, absolutely. So basically, we couldn't complete our program last year, and we plan to complete that. So this is independent of what was communicated on the last slide in terms of shareholder remuneration. So yes, we plan to catch up with what was the intention for 2023 in the first half of 2024.
Ignacio Fernandez: And regarding the 407, the last question that you mentioned, what is clear for us is that the decision to increase the tariffs makes sense from an economic point of view. We are not saying that this effect is going to be larger than the increase of tariffs in any specific year. So don't take it like that. Take it just that what we are considering is that almost under any scenario, increase in tariffs makes sense from a value point of view of the asset. So that's just that. So don't take it in a different way.
Operator: The next question comes from the line of Marcin Wojtal from Bank of America.
Marcin Wojtal: A few questions. Just firstly, on your U.S. listing, is there any update on timing, please? And #2, also in the context of your U.S. listing, can you just remind us, do you plan to provide financial accounts based on U.S. GAAP at any point? And #3, sorry, I'm actually following up on some of the previous questions, but when you think about your, let's say, EBITDA in the ETR 407 for the next 2 or 3 years, so are these tariff hikes that you just announced, do you expect them to more than offset the penalties from Schedule 22 when it comes to EBITDA? So do you expect the tariff hikes, let's say, to be EBITDA accretive or not in the near term?
Ignacio Fernandez: Marcin, so the first one on U.S. listing timing, well, as I said, is the SEC prerogative. The only thing we can say is we have a public filing and now we have the 2023 accounts that we have to file, right? So, this will come in the near term, we have to file all that information. And as I said, it's the SEC prerogative, but it's advancing well. No further comments on this component. Okay. And then, the second question was regarding U.S. GAAP. Well, not at the moment. We go with IFRS, but probably it makes sense. We don't rule out it. I think it makes sense in long time, but not in the near term to do U.S. GAAP accounting.
Ernesto Lopez Mozo: About the last question, it's difficult to forecast that number, but our expectations, of course, is that -- of course will improve EBITDA. And the message here is that we don't see a 0 in the first 8 years and will be a number that is significant, but it's difficult to calculate, as mentioned previously. And it's something that we have to wait because we are not going to give a forecast about what this number will be.
Operator: The next question is from Graham Hunt from Jefferies.
Graham Hunt: I think just 2 from me. First one on Construction. I think the ex-Construction business seemed to deteriorate a little bit in Q4. I just wondered if we could get an update on the 2 difficult projects there in the U.S. and whether those are now resolved and 2024 will be sort of a clean year from that perspective. And then second question, more strategic. You're coming to the end of your Horizon 24 sort of 5-year window. As you think about the next 5 years, I wonder if you could talk about your #1 priority? And should we expect another strategic update later in this year or perhaps early next year to talk about the next 5-year strategic window?
Ignacio Fernandez: Graham, about the Construction and the 2 projects in the U.S., the last quarter, as commented, was affected for Construction, not only these 2 projects that are at the end and almost complete, and we'll mention in more detail later, but also the landslide in Colombia. As commented, we have a landslide that happened outside the limits of our construction in this toll road and affected when we were building the new toll road. And it's something that, of course, we consider this cause of force majeure and hopefully will be part of -- it will be a dispute that hopefully we will win and will cancel this provision. Regarding the 2 projects in the U.S., hopefully, we'll reach project completion very soon. We are working on the patch list that is smaller every day, but we have not reached yet project completion, but it's something that we expect in the short term. About Horizon 24, we already commented during the Capital Markets Day about what is the strategy of Ferrovial, that is going to be maintained. And also, we mentioned at that time 2 metrics for 2026. So what we are working now is more in Horizon 26, so with some KPIs and indicators to that date, but with a similar strategy to what we presented at the Capital Markets Day recently.
Operator: The next question comes from the line of Jose Manuel Arroyas from Santander.
José Manuel Arroyas: Two, if I may. First one is on NTE 35W and Segment 3C opening in June last year, as you said. And since then, we have seen revenues and EBITDA accelerating. And I was wondering if you could give us some details whether this new segment has resulted in more trucks in the corridor. And my second question is on non-core assets. I was wondering outside Heathrow and after the sale of the city mobility subsidiary, if Ferrovial was running actively any other sale process.
Ignacio Fernandez: Thank you, Jose Manuel. Yes, about the 3C, yes, as commented, it was open to traffic in June last year, it's still not -- it was at the end of the year, but that was finalized, the connection to the US-170 and at the north of the managed lane, so full connection is not yet there. But the traffic has been good and positive. Yes, the number of trucks is -- percentage of trucks is higher even than the segment's [indiscernible]. And so far, it's performing very well. So we are happy about the development of the 3C and the contribution to the total 35 West. That is the numbers that you have seen so far. Regarding the non-core assets, as commented several times, we have a policy of rotation of mature assets when they have more value for third parties. And of course, we always consider any transaction that could create value for us. But of course, we don't comment about any specific transaction until it is finalized.
Operator: [Operator Instructions] There are no further questions from the conference call at this time. I'll hand the conference back to you.
Silvia Ruiz: Okay, thank you. We have some questions through the webcast. So, first question coming from Fernando Lafuente from Alantra. A couple of questions. First of all, in the presentation, you mentioned that 407 ETR will have to make material payments related to Schedule 22. Can you give us an indication of the potential impact?
Ignacio Fernandez: Well, I think that I answered that question before. No, we are not giving any specific forecast. We say that it's not 0, but it will be a significant number, but we are not giving forecast that makes economic value for the 407.
Silvia Ruiz: And second question from Fernando, regarding the €500 million buyback mentioned in the last part of the presentation, is the buyback related to the scrip or is in addition to it? In other words, are you planning to reduce the number of shares of the company below 727.4 million?
Ernesto Lopez Mozo: Well, the -- it's related somehow to the scrip as the main driver, but we like to keep that flexibility just in case we want to add more.
Silvia Ruiz: Next set of questions coming from Filipe Leite from CaixaBank. First question, 470 ETR did not announce any dividend in this quarterly results release as in the previous quarters. Did you expect any dividend announcement only in the first quarter 2024 results? Or can the concession announce any dividend before the next results release?
Ignacio Fernandez: Well, last year, the 407 also didn't give any dividend in the first quarter of the year. But at the end, they gave CAD 950 million. As the 407 team commented, they are expecting a good operational year. And if that's the case, also, we will see that in the dividends paid during this year, 2024. I think that we don't expect in the first quarter, but something similar to what happened in the last year.
Silvia Ruiz: And another question from Filipe. Can you update us on Heathrow? And if you consider sale less than 25% or only the 25%?
Ignacio Fernandez: No more than what we have commented previously, that 35% of the shares were -- of the shareholders tag along together with us, and that together with the buyers, we are looking for alternatives to fulfill this condition precedent. But at this point of time, we cannot comment more about it.
Silvia Ruiz: Next set of questions coming from Tobias Woerner from Stifel. First question, your loss at Ferrovial Construction was disappointing again. Are you considering scaling this business down?
Ignacio Fernandez: As I commented previously, the results this year were mainly related to a few projects in the U.S. and this landslide in Colombia, and we reached 1.1%, and it was a good operating cash flow that was generated by the Construction business during this year. The target that we have today is really working towards this target of 3.5% EBIT at the end of this year. And as it was commented in the Capital Markets Day, we see that the contribution of the Construction business to -- or value proposition and our strategy is very relevant, and we see that we need in order to develop greenfield projects in several places, where we have concessions that can create a lot of value for the company. So we are happy with our construction business and the places in which we are developing and growing is where we have -- where we see that we have more opportunities to develop concessions.
Silvia Ruiz: And next question from Tobias. Would you be interested in reentering the real estate business again in Spain?
Ignacio Fernandez: No, we are not looking at that right now.
Silvia Ruiz: Okay. Sorry, we were checking that there were no further questions, but it seems that we have another one from Andy Jones from HSBC, 407 ETR. What is the baseline for the comparison for the comments about the tariff increase being NPV positive? Is it in a scenario where tariffs remain frozen until the end of the concession or one in which tariff increases resume without penalty when traffic returned above the threshold in a few years' time?
Ignacio Fernandez: No, the way we consider is since the time that we take the decision about increased tariffs. And of course, when we take that decision, we compare to different scenarios, not that this increase later different periods of time and always it was the right decision to implement the increase as soon as possible. And this is what we did with the increase that you saw. Again, the comment about it is that we don't see a 0 congestion payment in the first years. But anyhow we think that is the right decision in order to create value for the concession.
Rafael del Pino: Okay. Thank you very much for attending this 2023 results conference, and we look forward to engaging with you again soon.